Operator: Good morning, and thank you for joining the Tetra Tech Earnings Call. By now, you should have received a copy of the press release. If you have not, please contact the company's corporate office at (626 ) 351-4664. As a reminder, Tetra Tech is also simulcasting this presentation with slides in the Investors section of its website @ www. tetratech.com. This call is being recorded at the request of Tetra Tech and this broadcast is the copyright property of Tetra Tech. Any rebroadcast of this information in whole or part without the prior written permission of Tetra Tech is prohibited. With us today from management are Dan Batrack, Chairman and Chief Executive Officer, and Steve Burdick, Chief Financial Officer. They will provide a brief overview of the results and we'll open up the call for questions. I'd like to direct your attention to the Safe Harbor statement in today's presentation. Today's discussion contains forward-looking statements about future growth and financial expectations. Actual results may differ significantly from those projected in today's forward-looking statements due to various risks and uncertainties, including the risks described in Tetra Tech periodic reports filed with the SEC. Except as required by law, Tetra Tech takes no obligation to update its forward-looking statements. In addition, since management will be presenting some non-GAAP financial measures as references. The appropriate GAAP financial reconciliation are posted in the Investors section of Tetra Tech website. At this time, I'd like to inform you that all participants are in a listen-only mode. At the request of the company, we will open up the conference for questions-and-answers after the presentation. With that, I would like to turn the call over to Dan Batrack. Please go ahead, Mr. Batrack.
Dan Batrack: Great. Thank you very much, Laura and good morning. And welcome to our fiscal year '22 first quarter's earnings conference call. We had an excellent first quarter and an exceptionally strong start to our 2022 fiscal year. Our performance resulted in record first quarter revenue operating income, and earnings per share, and 120 basis point expansion in our collective operating margin. This extraordinary performance is a direct result of our long-term strategy to grow our high-end services, which is defined by our Leading with Science approach applied to our water and environmental markets. Given the strength of our performance and our outlook, we're increasing our guidance for both net revenue and earnings per share for fiscal year '22. We will begin today with an overview of our performance and customers, followed by Steve Burdick, our Chief Financial Officer who will provide a more detailed review of our financials and capital allocation. After Steve, I'll then address our customer outlook and our updated earnings guidance for fiscal year 2022. In the quarter, we hit all-time first quarter highs for revenue, operating income, and earnings per share. Our revenue increased by 12% year-over-year from $605 million to a new all-time high for our first quarter of $679 million. Our operating income increased at more than double the rate of our revenue growth. And operating income was up 25% from last year, reaching a record $83 million for the quarter. And finally, we delivered a $1.19 and adjusted earnings per share. The highest quarterly earnings per share of any quarter in the company's history. And a 14 cents from our previous high record earnings per share of any quarter. I will note down on a GAAP basis, our quarterly earnings per share was even higher at a $1.25 per share, up 30% year-over-year, which Steve Burdick, our CFO, will address later on this phone call. And now like to provide an overview of our performance by our end customer in the first quarter. We saw continued strength in our state and local revenues, which were up organically 29% from the first quarter of last year. Even excluding the contributions of our disaster response work, this is another quarter of double-digit growth rate for our state and local municipal water businesses. Our second fastest growing client sector was international, where our net revenue was up 20% from last year. Our international revenues benefited from the addition of our new high performance buildings group and the United Kingdom, Hoare Lea, who joined us in the fourth quarter and contributed about half of our international growth rate. The rest of our International work grew organically at a strong year-on-year pace with the expansion of broad-based sustainable infrastructure programs in Canada, Australia, and in the United Kingdom. Our U.S. commercial net revenue was 21% of our business, up 7% from last year. Our services in sustainability, including those for environmental permitting, high performance building designs, and renewable energy services all contributed to growth in this sector. Work for our U.S. Federal clients was 28% of our net revenues in the quarter and was stable from the same quarter last year.  Although we're civilian in our Department of Defense work increased during the quarter, this growth was offset by reductions that we saw with U.S. Agency for International development related work associated with a rapid wind-down and exit of the project work that we had in Afghanistan. I'd now like to present our performance by segment. Both of our [Indiscernible] business segments grew their revenue while expanding their margins from last year. The Government Services Group, or our GSG segment, was up 7% year-on-year and that was based on challenging comparisons, while delivering a very strong 14.7 operating income margin which was up 70 basis points from last year. Our GSG performance was driven by our high-end data analytics and digital consulting and engineering services for water and environmental programs.  The Commercial International Group, or CIG, grew by 17% year-over-year and increased margins by a 100 basis points from last year. The CIG margin expansion was directly in line with our strategy to continue to expand our high-end commercial sustainability services while increasing margins in our International operations. Our backlog was up 8% year-on-year on strong broad-based orders, resulting in $3 billion, $450 million of contracted, funded, and authorized work during the company. We did see the U.S dollar strengthen during the quarter. So if evaluated on a constant currency basis just from the beginning of the first quarter, our backlog would have been up not only up year-on-year, but up sequentially also to an all-time high for the company. In the first quarter, we won new programs and task orders across our global businesses that are a direct result of our strategic focus on our clients’ highest priority programs that they have. Building on our expanded presence in the United Kingdom, we were awarded a large $2 billion public framework contract. Notably Tetra Tech was the only firm that was awarded a position in all six scope areas. We were also awarded a $24 million contract for our U.S International development work that advances carbon mitigation and bio diversity. And for the newest -- for the U.S. Environmental Protection Agency they have issued new task orders for high-end-water and environmental services through our watershed in science and technology contracts. Now I would like to turn the presentation over to Steve Burdick to present the details of our financial for the Quarter.
Steven Burdick: Thank you, Dan. So I'd like to now review the GAAP financial results for the first quarter of 2022. So overall, as Dan noted earlier, we had record Q1 results for revenue and earnings, which very strong top-line growth, with first-quarter revenue of $859 million. The net revenue amounted to $679 million, which was at the upper end of our guidance range of $630 million to $680 million. Our revenue and net revenue were both up 12% over last year with strong growth from state, local, international, and commercial markets. Our operating and financial results were the highest of any first quarter. Our operating profit and earnings per share for the first quarter increased over last year also. GAAP, EPS came in at $1.25 in the first quarter, which is an increase of 30% over last year. The higher EPS was due to the increase in reported operating income, which came in at $87 million this quarter, which is up 32% over last year. Our record operating income for the first quarter was largely driven by 27% growth in CIG segment operating income, and 13% growth in GSG segment operating income. The resulting CIG margin of 12.5% is up by 100 basis points over last year. And the GSG margin of 14.7% is up 70 basis points over the last year. We also had lower corporate costs which contributed to the better margins. And all told on a consolidated basis, this resulted in an EBITDA margin of 13.7%, which is a 170 basis points over the first quarter of last year, of 12%.  Now, our GAAP EPS came in better than our adjusted earnings per share of a $1.19 and better than the top end of our guidance range of $0.98 to $1.3. The difference between our GAAP EPS with $25 and the adjusted EPS of $1.19 was due to the benefit from employee retention credits received in the quarter related to COVID-19 programs instituted back in fiscal 2020. As you can see, our record revenue and profits have further translated to a continued increase in our cash flow generation. Cash flows generated from operations for the first quarter totaled $82 million, which is up 148%. Our focus on working capital and cash flows has resulted in our DSO decreasing to 61 days as of the first quarter. This is a further reduction of six days from last year at this time. And so for many of those who have been following us for a while, you may remember that our long-term goal was to generate a CSO of 70 days. I think, however, we now believe that we can do better and generate a sustainable CSO below 70 days. Also I don't look at CSO just as a financial KPI, I also look it as an indicator of our client satisfaction resulting in timely payments for the work that we perform on so many projects throughout the year. Our net debt amount, amounts to about 58 million. Our net debt to EBITDA was at a leverage of 0.2 times this year versus 0.5 times a year ago. This reduction in net debt by 81 -- was a reduction in at debt by $81 million compared to last year. And so as we presented here today, these high-quality results, including an increase in EBITDA and higher margins, along with strong cash flows, lower working capital requirements, have all resulted in a return on invested capital of 20% over the last trailing 12 months.  Now, our long-term capital allocation strategy calls for a balance of investing in the growth of our business, managing the balance sheet, and also providing returns for shareholders. And so for the trailing 12 months, cash from operations generated $354 million or about $6.50 per share. Sequentially from last quarter, this was an increase of 16% from our fiscal 2021 record year where we generated $304 million of cash flow. During the first quarter, we continued to provide significant returns to our shareholders through both dividends and share buybacks. And so regarding our dividend program, during the past quarter, we paid out $10.8 million in dividends and I want to announce that our Board of Directors approved our 31st consecutive dividends which will be paid in the month of February at a rate of $0.20 per share, which is an 18% increase over last year. Furthermore, we utilized $50 million in the first quarter on our stock buyback program. So we -- as of the end of the first quarter, we have a total of $498 million remaining in our approved stock buyback programs.  Also for Q1 we returned more than $60 million to our shareholders through this dividend and share buyback program. Our strong cash flow has allowed us to successfully complete several strategic acquisitions and continued to return capital to our shareholders while deleveraging to 0.2 times from 0.5 times a year ago. And this lower leverage point also helps us to de -risk the impact of inflationary interest rates on the company. Our strong balance sheet and available liquidity of over $900 million positions us to have continue investing in technical capabilities and strategic growth areas as Dan will cover next. So I'm very pleased to share these financial results for the start of our fiscal year. I want to thank you for your support and I will now hand the call back over to Dan.
Dan Batrack: Thank you, Steven. Next, we're covering the details on our quarterly performance, not just on the work from our operations, but also where we sit on the balance sheet as you presented it quite clearly. We have, here at Tetra Tech, three key market drivers that continue to shape our client spending, long-term programs, and investments in the future. The first is the U.S government has identified climate change, water, and environmental protection as critical priorities. First and foremost, these priority programs are implemented through the federal budget associated with spending by key agencies that we work for, such as the U.S. Army Corps of Engineers, the U.S. Environmental Protection Agency, and the U.S. Agency for International Development. The second area that is a key driver for us is the U.S. government is now also working with state and local governments to implement the Infrastructure Investment and Jobs Act, or IIJA, to supplement additional funding's for the government budgets, especially at the state and local levels are creating long-term increases in spending for water, environment and resilient infrastructure services that we provide in the global market leadership. The White House's guide book to IIJA was just released Monday, just three days ago, and outlined an estimated $80 billion dollars that's been identified for distribution to states as just the first step in releasing the funding associated with IIJA. The third market driver is in our international markets. Here we are seeing a new focus on climate change programs and an increase in associated budgets including de -carbonizing buildings, biodiversity and land management, and protecting the oceans. This focus is resulting in an increased demand for our high-end consulting and engineering services in the United Kingdom, in Australia, and all throughout Canada. I'd now like to highlight how these same priorities are affecting our commercial clients. Now, we've previously commented on sustainability drivers across our government clients. But more recently, we've also seen our global commercial clients significantly increased their commitment to sustainability. As part of corporate reporting, companies are focused on ESG or environment, social, and governance metrics.  And in particular, the E or the environment aspect. This has resulted in very public commitments to science-based targets, schedules for reduction of greenhouse gas emissions, and increased funding for sustainability initiatives. Increasingly, stringent government regulations are driving additional spending for our science tests and our engineers to investigate, assess, and evaluate innovative treatment technologies to address emerging contaminants such as PFAS. And at the same time the bar is being raised for the restoration of impacted lands. It's being increased from just basic cleanup to more sustainable solutions that now often include the creation and management of biodiversity ecosystems. I would now like to present our outlook for fiscal year 2022 across our four in client sectors.  First, our U.S. state and local should continue to grow at a double-digit pace for us between 10 and 15%. We expect continued strong growth in the sector as additional projects are initiated by our clients. This growth rate excludes future revenues associated with any extraordinary or episodic disaster response activities that we may undertake. International work is expected to be about a 1/3 of our business evenly split between government and commercial work. Our international work is expected to grow at 10% to 15% rate as we increase our support for sustainable infrastructure and climate change services in the United Kingdom, Australia, and Canada. U.S Commercial work is expected to be about 20% of our business and grow at a 5% to 10% rate. This growth will be supported by our clients’ programs associated with sustainability, including environmental restoration, high performance buildings, work such as net zero buildings designs, and renewable energy programs.  Our U.S Federal work should grow at a rate of 5% to 10% as budgets for fiscal year '22 finalized in alignment with Biden's administration priorities. We assume however, that increases associated with the new infrastructure act for the IIJA funding will not begin until the very end of fiscal year '22 and most likely in early fiscal year '23 creating an increased tailwind as we move into the next fiscal year. And therefore, we've not included any significant contributions and revenue to our FY2022 outlook. I'd now like to present our guidance for the second quarter and for all of fiscal year 2022.  Our guidance for the second quarter is as follows. For net revenue. Our guidance ranges from $620 million to $670 million with an associated earnings per share of $0.86 to $0.91. Now as noted in my opening remarks, we are increasing our full-year guidance for both revenue and for earnings. The excellent performance we had in the first quarter has been incorporated into the full-year guidance. For revenue, first, we've increased the bottom end of our guidance by our net revenue beat in the first quarter, resulting in increased guidance for net revenue of a range of $2.65 billion to $2.8 billion. For earnings per share, in the first quarter, we beat our quarterly guidance by $0.21 above lower-end and $0.16 above the high-end. Based on our profitability, we now have estimated that our tax rate for the remainder of the year will increase from our previously estimated 25% to now 26%.  This tax increase represents about a $0.02 per quarter increase, or an increase of $0.06 over the remainder of the fiscal year. Our guidance incorporates both our First Quarter beat and the impact of the increased tax rate for the remainder of the year. As a result, we're increasing the bottom and top end of our earnings per share guidance for fiscal year '22 to $4.15 to $4.30. Now this guidance does include the following assumptions. It does assume, and it's incorporated into our guidance for the year, of a $10 million charge or $0.14 per share associated with intangible amortization. It does, as I just commented, assume a 26% tax rate for Q2, Q3, and four each of the remaining quarters this year. It does assume that we have a 54.5 million average diluted shares outstanding. And it excludes any contributions from future acquisitions that may happen subsequent to this call between now and the end of the fiscal year. In summary, we had an excellent first quarter and start fiscal year 2022, setting new first quarter records for revenue and earnings per share performance.  Our high end water environment, sustainable infrastructure, and renewable energy services are directly aligned with our clients’ priorities. Our strong backlog, funded and authorized work provides us with both excellent visibility and momentum as we move throughout this year and look to even increase as we move out into the coming years. And at this point, Laura, I would actually like to open up the call for questions.
Operator: The question-and-answer session will begin now. Please be aware that there will be a 30-second pause in our webcast to allow for buffering. At this time, audio participants are invited to submit their questions. Please remember to mute the audio function on your computer before you speak. If you're using a speakerphone, please pick up the handset before pressing any numbers. [Operator Instructions]. Our first question comes from the line of Noelle Dilts with Stifel. You may proceed with your question.
Noelle Dilts: Hi, guys. Good morning and thanks for taking my questions.
Dan Batrack: Absolutely.
Noelle Dilts: Sure. So first I was hoping that you could expand a little bit more on what you're seeing and expecting as it relates to margins. GSG margins were -- really margins in both segments were strong in the quarter GSG particularly strong. Could you speak to how you're thinking about the strength in the quarter, how much of that is sort of sustainable versus how much maybe benefited a bit from store Marc. And then if you could speak to your expectations for margins for each segment for the year, if anything has changed relative to the last conference call and also longer term. Thanks.
Dan Batrack: Absolutely. Let's we start with the extraordinary contributions during the first quarter from unusual events. Is that we did have a contribution from disaster activities that did contribute to margin expansion in the first quarter, and we typically associate that with increase in utilization. So the GSG margins, which were 14.7 during the quarter, a year ago, we were 14 even and so we were -- if you take a direct year-on-year were up 0.7. About half of the increase in the GSG margins we've associated with increase in utilization such as being driven by the disaster work and the other half is actually mix shift by adding more data analytics to high-end federal IT activities. So if you take a look at just the GSG margins in the quarter, about half of the 70 basis points was associated with increased utilization, partially driven by the disasters. If you take a look at -- so, it would be about 35 basis points since government workers GSG segment is about half. If you actually imputed to the entire company, it'd be about half of 35 basis points, so about 17 basis points if you want to be precise. So we did contribute but it's roughly on that order.  So I would call it a contributor but it wasn't the driver. With respect to our CIG margins, they were just increase in performance based on the mix shift that we've been employing. We've continued to emphasize higher end consulting and front-end engineering work, which actually does carry margins -- higher margins. And so I'd say it's more structurally representative of where we're going. With respect to what are the annual or annualized margin rates for the two groups, I would say that we've increased this year for CIG on an annual basis the range of 11.5% to 12.5%. So we moved both the bottom and top end up another 50 basis points from what we were estimating and achieved last year. And on the Government Services side, we've increased it to 13% to 14% on an annualized basis. I will make one observation. We do have a bit of a seasonal effect with our business in the second quarter. And this most notably the weather and the downtime impacts our Commercial and International Group. And it's mostly on that [Indiscernible] international primarily in Canada. With the colder weather, although I think the folks on the East Coast would say it's extended well down I guess earlier in the week all the way down to Florida, but -- and of course it's impacting much of the Central U.S. We do see less activity during the winter months of January, February, and March reserve Q2. So we will see margins a bit lower in Q2. That is not unusual, you've seen it every year from us and so I would expect margins to be muted in Q2 and of course much higher in the emerging Q3 and then Q4. But on an annualized basis, GSG at 13 to 14 and CIG at 11.5 to 12.5 and again I just spoken a bit to what took place in Q1. That was a bit extraordinary. I hope that covered some of those comments. Questions are welcome.
Noelle Dilts: That's it. Thank you. Very helpful. And then just for my -- secondly, you definitely stepped up the share repurchase in the quarter, shares have been under pressure and that really part of the year. Could you speak to how you're thinking about priorities for capital allocation and the relative attractiveness of repurchases versus acquisitions at this point? Thanks.
Dan Batrack: Well, that's a good question. I think Steve covered it. I'll basically just do a quick recap on the priority. Number 1 is of course we want to fund internal organic growth. That's embedded in our operations already with respect to CapEx, which is quite modest. We're down to about 1/2% to 1%. So we're incredibly asset-light. So the organic growth that we are realizing the company is only requiring a very, very small amount of our cash generator created from operations. Second, we're committed to the dividends. We've now, in every year that we've had the dividend, as Steve had indicated, we're 31 consecutive quarters. So do that math. It's about eight years. Every one of those years we've increased the dividend double-digits. And we're committed to that, and to continuing that process. So that's the next priority for besides internal growth, that's the next priority for our use of capital. On the next does actually use for acquisitions and making Tetra Tech more competitive and furthering our strategic plan in for the marketplace and to differentiating ourselves and the water environment, sustainable infrastructure, renewable energy markets. So we are very focused on bringing the best and brightest firms to come drilling new VAR partners here at Tetra Tech, and that's through acquisitions.  Now, acquisitions can be less consistent with respect to the timing and the size and therefore, we've employed a buyback. And in fact, this was the second greatest quarter we've had in the amount of buyback we've had and it was not triggered even though there's been some dislocation in multiples and pricing, that wasn't unique to Tetra Tech. Of course, there was a pullback across entire market sectors. But we put in a -- essentially an even purchase throughout the quarter, some weeks it's higher, some weeks it's lower, and we also are supportive of our company at an underlying grid in the event that we would become more constructive even than what you've seen here. So what we see is that the cash generated from our operations. If you take a look at this last quarter at $61 million between dividends and buybacks, we can sustain that through cash, through operations. It's not our goal to just pile up cash and leave it unreturned to our shareholders. So through dividends and buybacks, we will return to cash to our shareholders, and then we'll use our credit facilities to remain active on the M&A front. And so we're not borrowing cash in order to create a dividend and buyback, we're actually using the cash generated from operations. And in fact, we have surplus cash to actually fund a portion of our acquisitions and if we need to go with more acquisitions that are larger, as Steve said, we have access essentially to a billion-dollar credit facility to put no limit on the ability to have great companies come join us at any time. So that's the hierarchy and how we think about the use of the capital we're generating.
Noelle Dilts: Thank you. Very helpful.
Operator: Our next question comes from the line of Sean Eastman with KeyBanc Capital Markets. You may proceed with your question.
Sean Eastman: Hi, Dan and team. I'd love to dig a little deeper into the growth optionality in commercial. I think the high performance building side is pretty well-defined, but if you could round out what other opportunities are firming in Commercial and maybe tie that in with this nice margin accretive mix shift we're already seeing in the Commercial book of business, that would be super helpful.
Dan Batrack: Yes. That's a really good question. It's one we've really not spent a lot of time talking about in our investor calls quarterly here for some time. But I know over the past few quarters and certainly through the early part of the pandemic, we saw Commercial impacted negatively. And we've actually indicated that we thought that the first quarter of this year would be the second step and inflection to go from being flat or even down to actually growing. We actually see it in there continue. And what's -- what we find to be quite encouraging, is not only do we see the Commercial and that's not just in the United States, it's really for our very large, multinational global clients, including heavily on the industrial side.  There's more dollars and more commitments in funding and contracts being committed by these clients that we both have here at Tetra Tech now which has many of the Fortune 100 but we're also looking to bring other firms onto Tetra Tech. So if you asked, what's one of our priority areas? You've certainly heard me in the past, US Federal data analytics, IT differentiation with respect to using advanced data analytics to solve some of our clients’ problems, water firms both in the UK and Australia and we're now going to add here tactically, looking for firms to join us that have leadership positions with global commercial clients. And these are solving their problems regarding sustainability. Big issue has been water. We've always talked about this both for water, for supply, for their operations, for their containment in treatment before any type of discharge. And of course, their long-term sustainability and resiliency programs. What we do like and I have said this [Indiscernible] recall, I'm sure for the past many years that the CIG, our Commercial International, has the ability to have margins much higher than our Government Services Group.  And that's going to be driven by work that we do at the C-suite for our large global commercial clients where we're bringing exceptional value. And so while it does carry higher margins for us, it actually carries enormous savings for our clients by selecting the right alternatives, the right compliance activities, and the right decisions to be made in their future for anticipating new regulations and compliance requirements on the environmental and water side. So we think not only carries better margins for us, which will help accelerate CIGs closing. And in fact, I would expect beating of GSG margins. But I'll tell you the value we're bringing to our clients through these services are really extraordinary. And I believe not only best-in-class, in many instances really not offered by anyone else.
Sean Eastman: Interesting stuff. And to the extent, just hypothetically, the business cycle rolls over, how much sensitivity is there in this growth prospect pipeline for the commercial business?
Dan Batrack: That's a really good question. I know that we've had in the past. If we went back 10 years ago where we were actually doing much more detailed designs and construction management. We saw the volatility or the cyclicality of commodities drive that business up and down for us. By having moved weight to the front-end and actually working on the front-end planning, the strategies and the upfront prioritization of programs. We find ourselves much, much less exposed to cyclicality that you see with commodities that is inherent and a lot of these large multinational programs, and especially when you're talking about fossil energy companies, which is really oil and gas or mining. Really, we're moving away from that, and in case of energy, it's not just oil and gas, but its transformation to add other energy sources, such as renewable energy or even de -carbonizing some of the standard oil and gas or fossil fuel production that exist today. So we would find the work that we do to be much more consistent. I will say we're prioritizing quality over quantity. So by not doing the implementation, the projects are smaller that are less volatile, and they are higher margin, and they are highly differentiated. Because when you become the long-term consultant, and partner with the strategy, and implementation on where the companies are going, we see that to be much -- see lot much less fluctuation through these business cycles that would've been seen if you're actually implementing these solutions.
Sean Eastman: Okay, interesting. One last quick one from me. Dan, how would you characterize the timing risk around the IIJA tailwind for Tetra Tech? Are you increasingly convicted that we're going to see meaningful momentum there starting in fiscal '23? How would you characterize that?
Dan Batrack: I wouldn't say that we're increasingly focused. We're very methodic about this. We're very analytic about this. I think my comments regarding the first 80 billion, which is just the first installment that's been earmarked for the programs and in fact the guide book that's come out. So that's further, I would say, does that make us more encouraged? No. It's just additional support to what we've seen. So I do think it's important to note, these are my comments, that we've not included any material contribution from IIJA into our fiscal 2022. So we think it will come out in the fall. We're already seeing contract vehicles be put in place. We think the first beneficiaries of the funding are going to come out to current contract holders. And here at Tetra Tech with over $20 billion in existing contract capacity that we have, I think we're there. So I've heard anecdotally impact to contracting officers being impacted and not being able to come to work because of the Omicron or something else. We don't need new contracts; we have contract vehicles.  So actually the technical staff and the people at the front line can provide funding through the vehicles we have now. I would say we continue to be optimistic regarding the timing of IIJA and to reiterate it and then just to take your question actually one step further, some have asked, well, what about the build back better? Has there been some disappointment or discouragements that it hasn't passed? In fact, here at Tetra Tech, we think that a very methodic or a careful furthering of that on a timely basis. And in fact, as components, there has been some discussion of breaking it up into pieces actually may be better for us. It will create the governments to have the systems to actually put the new funding through to get to the contractors and in fact allow the best contractors to perform this work, not everything at once but they actually do it in a thoughtful meaningful way that we get the best value for the government. So to [Indiscernible], we continue to be optimistic and I wouldn't say we are more optimistic. We continue to tracking that's coming in just as we expect at this point.
Sean Eastman: Excellent. Thanks so much for the insights.
Operator: Our next question comes from the line of Tate Sullivan with Maxim Group. You may proceed with your question.
Tate Sullivan: Hi. Thank you. Just to start off, can you just give more background on moving the high performance building from GSG to CIG, what does it show in terms of the evolution of that business? I imagine it could be in both based on the end customer, but, yeah.
Steven Burdick: Yes. So if you went back -- if you went back three years, two years, even a little more than a year ago. The largest revenues were being generated here in the United States and a lot of it was government work. And so if you went back pre -five years ago, it was 100% U.S. as mostly East Coast and it was about 50/50 government and Commercial. So it makes sense to go to government. When we added a West Coast operation about four years ago, was still all United States and that was also about 50/50 our government and commercial. So I would say in the U.S. there could have been a decision. But we're looking to grow government more so that's why we put it in GSG. About three-and-a-half years ago, we actually acquired our first international buildings practice, a high performance buildings practice in Australia, headquartered out of Melbourne with a 1,000 engineers. And that all of that work, was being done and contracted for outside the U.S.  So very quickly, the work that we had within the buildings had moved to be international and the U.S. was about half commercial. And of course, with the most recent acquisition back in August or in our fourth-quarter of Hoare Lea, which is all international in the United Kingdom, the overwhelming majority of the revenue became either international, which was -- in the UK it's all international, Australia was all international, and the U.S. is, and probably close to half, commercial. When you're sitting at 70%, 80% of the collective buildings group residing either in commercial or international, it made sense to house it there. We didn't really want to break it up because we're sharing clients, we're steering projects. And I assure you one of the big growth areas that we see in our high performance buildings area is actually with the US Federal Government.  And we're growing work right now with the Australia government through their administrative or through their Department of Defense through MOD, Ministry of Defense in the UK. So we do have government work and we have had that overseas, but we're looking to grow that even more here in the U.S. But the reason we moved it was to keep it consolidated, so the group could work cohesively, seamlessly, and bring all of the best that we have in Tetra Tech to clients and not have to go in to the segment and so that's the reason we moved to fully. Now, just
Dan Batrack: as a point, we didn't move the entire high performance buildings from Government Services to International because 1/2 of it or more than 1/2 of it was already in the International Group for the work that we had in Australia. And of course in the fourth quarter in the UK, so that was the rationale for consolidating into the CIG segment.
Tate Sullivan: Thank you for that context Dan. And then you mentioned emerging contaminants in your prepared remarks and in the annual report, you showed that -- you mentioned $50 million in new programs to investigate and treat emerging contaminants. Was that up from a base of zero the prior year and then you also mentioned a new ion treatment plant. Is this an ion exchange plant? Can you just get -- is this an opportunity right now in just a couple of states? Has it already grown to multiple states? Can you go into a little more background on that opportunity, please?
Dan Batrack: Sure. We're up to $50 million and we have $50 million worth of orders to investigate our emerging contaminants, and to be specific, as primarily PFAS. And it was not up from zero, so it was up from what I would say coming into 2021. So to look back a year, a number was probably around $20 million, so it's up by about a 150%. So it's growing. Now with respect to ion-exchange, there are a number of different methodologies of treating PFAS. I guess the conventional best demonstrated available technology has been carbon or granular activated carbon, and also ion exchange. Tetra Tech did the design here in California for the largest PFAS municipal treatment facility in the United States and we happen to have used ion exchange. There are other methods that we're working with on innovative technologies that are looking to be -- to disrupt these technologies of either ion exchange or granular activated carbon. And so we did call it out because it's first of its kind in scale for a municipality. We do think it's going to grow. There are several things that are driving it. One is the responsible parties who discharged PFAS, which is really an additive to firefighting foam, partially used by the military, but other firefighting institutions also.  Ultimately, this is on track to be regulated as a drinking water contaminant that will have a maximum level that will be treated at every single municipality in the United States. And similarly, they are developing drinking water standards in Australia and the United Kingdom with their well down the road. Similar to the U.S. sort of moving in parallel to developing these. So what is the market opportunity adding a treatment technology to treat PFAS at every single water supply utility in the U, S. And that's ultimately our eye on the prize. And ultimately, the demonstration of putting full-scale treatment in place, we're among the first to do it and certainly the entity to do it at the largest scale in the U.S now, and that's what we're focused on. So it isn't going up to 50 from 0, but it hasn't hit that steep part of the curve in funding, which will be driven by regulatory requirements. And that'll should take it and have a grow by really orders the magnitude.
Tate Sullivan: Thank you Dan.
Dan Batrack: Thanks Tate.
Operator: Our next question comes from the line of Marc Riddick with Sidoti. You may proceed with your question.
Marc Riddick: Good morning.
Dan Batrack: Morning, Marc.
Marc Riddick: So a lot's been covered in the Q&A which is great. I did want to just circle back on a higher level, just you as to maybe what you're seeing out there within the acquisition pipeline today maybe versus a year ago. I guess, last calendar year -- going by calendar year, you guys ended up doing five acquisitions and I wanted to get your thoughts on maybe if you compared what the pipeline looks like now versus a year ago as well as maybe the attractiveness of international versus [Indiscernible]. Thank you.
Dan Batrack: Thanks for your question Marc. I think our acquisition pipeline actually looks very consistent to what we saw a year ago. So we're looking at it on fiscal years in that calendar, but we did four acquisitions in fiscal year 2021 we did one in our first quarter, so we've got one down. We look that it's relatively similar. We're relatively agnostic whether or not it's International our U.S. because some of our priorities with respect to international, particularly in Australia and the United Kingdom with adding water consultancies is a priority. But we wouldn't put that priority over adding additional federal IT companies here in the U.S., or advanced data analytic companies primarily here in the U.S, or digital water companies here in the U.S. And really the tactics I think will contribute as a company, a very high end commercial environmental companies here in the U.S. So if you'd asked if a water company came up in the UK or Australia versus a data analytics company, or a commercial high-end environmental company here in the U.S., we go international, or will we go U.S. Will we go U.S. environmental over IT? And my responses will do all four. We'll do one water in UK, Australia, and we'll do an environmental the U.S., and we'll do an IT company here in the U.S. So I think was the balance sheet we have that Steve covered, it's not either or for us, it's just one criteria. Will it increase Tetra Tech's competitive position? Bring new clients and differentiate us in the marketplace. Will it think it's better than we are today? And if the answer is yes, we don't have a governor or threshold by which we have to make a selection of one over another. And with respect to what the pipeline looks like, it looks very similar to what we saw last year.
Marc Riddick: Okay. And I guess I would be remiss if I didn't ask the question, which a lot of folks are concerned about across the board and that's just overall labor availability, spending, recruiting, and the like [Indiscernible] if you give a quick update on what you're seeing and what your expectations are, and maybe also tying that into what the -- given the backlog and the opportunity -- growth opportunities that you see going forward. Thank you.
Dan Batrack: Yeah, it's a good question. It's probably the most common question I receive and not just myself, but really our entire team is, are we seeing labor shortages? We've not seen labor shortages; we've not had a shortfall of labor to perform any of the work we have here. We have had to spend a lot of consolidation in the environmental water fields. Some of them have been consolidators that have caused disruption and those that have actually gone through this consolidation and so we've actually been a big benefactor of what I would call very high-end, internally, we call them strategic hires, but I would call them thought leaders, so technical leaders in the marketplace. So interestingly enough, we've -- it has actually gone quite well for us. We do track very, very closely our turnover rate. And our turnover rate, voluntary turnover rate is actually down slightly once the pandemic has started from pre -pandemic deliveries. Now, I think some of it's kind of in the noise were down a few tenths of a percent on turnover. We're just sub 10%, and before and we were like 9.8 and we're down to 9.5. So those types of numbers.  So I consider it de minimis, but we've not seen turnover in the company of be a particular issue. Increases we are cognizant of salary pressures and inflation in the rest of it, we do pay at market. But I will say that most of our contracts or I guess the great majority are either time and materials where we have annual escalation rates that taken into account or cost plus where it's passed through. So we don't really see that. And I will say one item that we're very focused on here in the company. We believe the productivity of the company can go up dramatically by the use of advanced data analytics and other technology that will allow each of our associates to be more productive than they are today. It doesn't mean I want you to work more hours. We want to actually have better output with the same amount of labor input.  And so we are working harder trying to decouple that old antigen professional consulting firm, the where to do 10% more work, you need 10% more staff and that's not the case. We think we can actually produce much more output, much more value for our clients, do it faster, have even better outcomes from a technical standpoint, with the same or even less labor. It doesn't mean we're going to have less people because we're growing, we're still going to have more people. It's just going to create new tech -- new use of technologies, and career opportunities that were never seen before. So the best and brightest if they'll come to Tetra Tech, they're going to be able to do more things, on more projects, in more geography, solving more problems, using more technology than they ever could have even imagined. And that's how we're keeping up with these challenges in the workforce.
Marc Riddick: Much appreciated. Thank you very much.
Dan Batrack: Great. Thanks a lot [Indiscernible], Marc.
Operator: Our next question comes from the line of Michael Dudas with Vertical Research. You may proceed with your question.
Michael Dudas: Good morning Dan and Steve.
Dan Batrack: Pretty Michael.
Michael Dudas: Given you reaching a record backlog and a constant currency basis, how will the order flow be and especially with the federal side? Do you anticipate that during 2022 you can maintain growth in the backlog, a positive book-to-bills? Any issues given maybe some of the funding or some discussions on Washington especially with what's going on on defense and some of the focuses may be turned elsewhere on how to make some of those [Indiscernible]?
Dan Batrack: Well, our -- I actually was very encouraged with our first quarter of book of business. Our new task orders being awarded to us. It was -- and honestly, it exceeded our expectations a little bit with having one of the biggest revenue -- we're having the biggest first-quarter revenue that we've ever had, and normally puts pressure on the back log in the first quarter. And normally it's a little bit lighter activity for new awards because you've got Thanksgiving and Christmas and New Year’s, and its just generally slowdown, but we saw a really good flow of new orders.  So with respect to the first quarter, it was very good. With respect to what we see in the outcome or in the outlook. It is interesting. I do expect defense is not to be a priority, so we have three even buckets or even components of our Federal work. So civilian agencies, things like the FAA, Federal Aviation Administration, U.S. CPA, NASA, NOAA, National Science Foundation of these folks. We've seen most of their budgets up; it is an alignment with the priorities of the administration. So I think that the book of business and the outlook there looks very good. So it's increased in priority. You can see and I don't want to point to Ukraine as they work -- as they work up opportunity for task. But I do want to point out to as administration's priority for its diplomacy and development.  Diplomacy and development are the priorities, not defense. So more dollars will go into diplomacy followed by development, which we want to give the U.S. a hand up to those less fortunate, and that is actually good for all of us. And as one of the large USAID contractors, we think that we'll benefit from that as the year goes on, so I feel very good on that front. And defense, we feel that even with defense being -- let's call it flat or not the ultimate priority of where additional funding will go, we think we're going to be a benefactor of this. And how we think that's the case is we think dollars will move from weapons, platforms or other areas that are considered offensive or areas that are very large portions of the budget. And it's going to move towards quality of life, sustainability, cleaning up this environment from legacy operations of defense, creating new buildings that actually reduce the carbon footprint high performance buildings. Many of the things that we do. So we think that defense budget in and of itself may not be increased or be "flush " with additional funds. But we think that the reprioritization of funding within the department of defense for activities that we performed should actually be pretty strong as we've continued to move through this administration and into the future.
Michael Dudas: That's encouraging Dan and my follow-up is, let me just go back to the capital allocation and M&A pipeline. Is there any target level of capacity, balance sheet capacity that you like profitable for you? And given what you've described sounds like will be more niche, smaller acquisitions, maybe several of them as opposed to one or two ones that they've might be out for the current company less likely is that something we should think about the net royalty as to how capital gets allocated this year and [Indiscernible].
Dan Batrack: Well, I would like to start with a -- to a very high level, 100-thousand-foot overview on our capital allocation at target levels, which it really would like to get to a range of one to two times. It probably went over to but it was for the right action for the company. I wouldn't feel uncomfortable at all if it was the right strategy and the right move. Now, you would be right to point out, you've said this for I don't know how many years Dan, one to two, and you haven't yet been able to get there. I don't think it's the worst foible that we've had if we've been able to grow the company at double-digit, we've been able to acquire great companies, we've be able to return cash to the shareholders, we've be able to increase our dividends, and we deliver because of the strong cash flow. So that's not what we're targeting, but it's not a bad place to be. I do think in the short-term, at least if you looked at horizon, and I commented earlier on the questions here, that I see the pipeline similar to what we saw last year and the year before, which does lend itself to several, if you want to call it niche firms. I think every firm that's joined us, whether or not it's had 20 people or it's had a 1,000 people are not niche.  Now maybe from a financial standpoint as a percentage of the company's revenue can be characterized, but we think that they are incredibly accretive to the company's intellectual status in the marketplace, whether it's a smaller firm like EA or Ebro PHARMAQ. I'll tell you they are unbelievably a valuable in the company. Whether it's a small Canadian company like Covanta, which is very high and research and development firm with an expert on fluid mechanics and other calculations, moved us to another level, or if it's bigger, like we'll need a thousand people added both geography and some of the best buildings. So for us, every one of those has made us better and some have made our revenues -- has moved the needle a little bit more than others. If we find a larger firm that fits with Tetra Tech and I think there are a few out there that they would benefit every bit as much as us because what's important is, it's not a one-way street. It's not to benefit Tetra Tech. We think that every associate that comes to us for the acquisition will have a better brighter future than they now have on their own and frankly, that Tetra Tech staff have on their own. So do I like to go bigger? Yes. But it needs to be for the reason that we're going to be better. And if that gets us to a leverage of two, I'll be even happier. But we don't want to be at the risk of being redundant, we really want to move to be better, not just bigger.
Michael Dudas: Sounds like the [Indiscernible] department is going to continue to be quite busy. Thank you, Dan.
Dan Batrack: Great. Thank you very much Michael.
Operator: This will conclude the Q&A session. I will now turn the conference back over to Dan Batrack to conclude.
Dan Batrack: Thank you very much, Laura, and I want to thank every one of you for attending the call I know you all have busy schedules, and take the timeout, and to participate, and ask these questions, and to follow Tetra Tech is really very much appreciated. I feel really good and our entire company feels very good about the start to the year with a good first quarter. But of course, we do know what we did in the first quarter as what we did before, and we're focused on doing as well or better as we move into the future. And I really look forward to giving you an update here on our next quarterly call on how our second quarter has performed, and providing you more updates on both our outlook for the rest of the year, and how things like the IIJA and other programs are progressing. And as we see them moving forward into the rest of 2022 and beyond. So with that, I hope you have a great rest of the week and stay safe. Thank you.
Operator: Ladies and gentlemen, this concludes our conference for today. Thank you all for your participation and have a great rest of your day. All parties may now disconnect.